Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to today's conference call to discuss LifeVantage's Third Fiscal Quarter of 2021 Financial Results. At this time, all participants are in a listen-only mode. Following the formal remarks, we will conduct a question-and-answer session. Instructions will be provided at that time for you to queue-up. Hosting today's conference will be Reed Anderson with ICR. As a reminder, today's conference is being recorded. And now, I would like to turn the conference over to Mr. Anderson. Please go ahead, sir.
Reed Anderson: Thank you. Good afternoon, and welcome to LifeVantage Corporation's conference call to discuss results for the third fiscal quarter of 2021. On the call today from LifeVantage with prepared remarks are Steve Fife, Chief Executive Officer and Chief Financial Officer; and Justin Rose, Chief Sales and Marketing Officer. By now, everyone should have access to the earnings release, which went out this afternoon at approximately 4:05 p.m. Eastern Time. If you have not received the release, it is available on the Investor Relations portion of LifeVantage's website at www.lifevantage.com. This call is being webcast, and a replay will be available on the company's website, as well. Before we begin, we would like to remind everyone that our prepared remarks contain forward-looking statements, and management may make additional forward-looking statements in response to your questions. These statements do not guarantee future performance and, therefore, undue reliance should not be placed upon them. These statements are based on current expectations of the company's management and involve inherent risks and uncertainties, including those identified in the Risk Factors section of LifeVantage's most recently filed Forms 10-K and 10-Q. Please note that, during today's call, we will discuss non-GAAP financial measures, including results on an adjusted basis. Management believes these financial measures can facilitate a more complete analysis and greater transparency into LifeVantage's ongoing results of operations, particularly when comparing underlying operating results from period to period. We've included a reconciliation of these non-GAAP measures with today's release. This call also contains time-sensitive information that is accurate only as of the date of this live broadcast, April 29, 2021. LifeVantage assumes no obligation to update any forward-looking projection that may be made in today's release or call. Now, I will turn the call over to Steve Fife, the Chief Executive Officer and Chief Financial Officer of LifeVantage.
Steve Fife: Thanks, Reed, and good afternoon, everyone. Thank you for joining us today. With me today is Justin Rose, our Chief Sales and Marketing Officer, who will join me with prepared remarks before we turn the call over for Q&A. We generated third quarter adjusted earnings per share of $0.20, which is up 54% compared to the prior year period but down sequentially 20% despite a challenging environment that resulted in an 8% decline in revenue year-over-year. The delayed timing of new product launches and country launches, both due to COVID-19, had an adverse impact on revenue in the quarter. However, from a trend perspective, March was the strongest month in the quarter, and we feel good about our positioning and ability to return to top-line growth over the near term. In addition, the lack of in-person interaction due to COVID-19 has been a major factor adversely affecting our performance over the past year. While it's still very early, and we don't anticipate a return to old practices anytime soon, we are seeing a positive impact to our business as people are becoming more comfortable with in-person meetings, even under controlled conditions. The uptick in growth from February to March has continued into April; and, as mentioned, we feel good about our positioning and ability to return to top-line growth. This growth is being driven by engagement, excitement and alignment between corporate and our top distributor leaders. The excitement within the distributor base is a result of a renewed and intentional focus on a simplified message centered on our flagship product, Protandim Nrf2 Synergizer. Protandim Nrf2 is the result of a discovery made over 50 years ago at Duke University. It is a combination of five natural ingredients that stimulate the body's natural production of two key antioxidant enzymes and restores those enzymes to levels of a 50-year-old, resulting in a reduction in oxidative stress by an average of 40% in 30 days. Protandim NRF2 has been featured in the media, was the subject on an ABC primetime investigative report, and its benefits have been validated by over 25 independent studies from prestigious universities and institutions from around the world. These studies can easily be found and reviewed on pubmed.gov. This story is a message that is enthusiastically embraced by our entire distributor base. While the corporate staff is excited to move into our new headquarters, our distributor leaders are equally excited to use the office and our trading facilities as part of their enrollment process. Although, we have yet to have an official grand opening, distributors from as far as Mexico and throughout the United States have traveled to visit the new office despite the inconveniences of pandemic travel. With dedicated space for training, education and recruitment, distributors have already begun booking the facility for weekend trainings with 50-plus guests to use as a backdrop during their recruitment process. We recognize that the change to the fleet in September and the lack of a permanent CEO created a sense of confusion and instability with the top distributor leaders. As the new CEO over the past several months, I have taken the opportunity to meet with and listen to each of these distributor leaders. The level of engagement by our top producers intensified as the quarter progressed, including a reenergized focus around the strength of our core offerings as well as newly launched products. We believe we've been able to increase our alignment significantly and are clearly in a better position than we were a few quarters ago across the entire organization, with everyone rowing in the same direction. The tools we've rolled out over the past several months are gaining traction as the field gets more comfortable with these solutions and has higher rates of success. Justin will provide some additional details around this. With this renewed alignment between corporate and distributor leadership, going forward, we will have two primary areas of focus: first, increasing our distributor enrollments; and second, increasing the month two purchases of both distributors and customers. I will share updates on the successes of these initiatives in future quarters. Before I turn to a discussion on third quarter results, let me turn the call over to Justin Rose, our Chief Sales and Marketing Officer, to discuss our recent activities.
Justin Rose: Thank you, Steve. It's a pleasure to speak with everyone today. While we're not satisfied with our third quarter results, there were several positives that should set us up for improving trends over the next several months, including the continual refocus and alignment with our existing distributor leadership group. In March, we launched our new Daily Wellness product, and it was well received by our distributors and customers. This product is uniquely formulated to provide daily support to keep the immune system healthy and strong. We had originally planned to launch Daily Wellness in early February but encountered unexpected supply chain issues related to raw material shortages stemming from COVID-19, which also impacted the initial quantities we had available for sale. We sold out of our initial quantities within the first few hours of launch and expect sales to continue building as consumer acceptance grows. Another encouraging sign was the Virtual Elite Academy event held in March. In total, there were several thousand people who participated both virtually and in group gatherings, which is the first since the pandemic began. The training and initiatives were well-received, and we already have over 2,000 people signed up for the next Elite Academy event in July, which will be focused on a continual push of our sales process, which we call the ITT system. This will also include some new tools and activities designed to help increase enrollment and retention. We will also be introducing a new package and building strategy that is designed to better meet the needs of our future distributors and customers. Excitement is building in the sales for highly anticipated CBD-enhanced Nrf2 personal care line that we plan to launch June 1, 2021. This product launch will be an introduction to the multibillion-dollar body care category with four products: body lotion, body butter, body wash and a natural deodorant. In addition the launch will include two products, the Body Rub and Soothing Balm, to a category that we are referring to as Targeted Relief. And finally, we are also introducing a luxurious facial oil to our TrueScience Skin Care line that we are calling Beauty Serum. Each product is formulated to elevate everyday routines with Nrf2 active ingredients and combats visible signs of aging caused by oxidative stress. Building on the current trend of CBD-based topical products, we are excited about our ongoing clinical studies currently in process that are showing the synergistic and complementary nature of broad-spectrum CBD with Nrf2 ingredients, which offers us the exclusive opportunity of positioning CBD as an Nrf2-enhancing ingredients. This launch is the largest in LifeVantage's history, more than doubling products offered from the TrueScience brand and opening up a new space for our distributors. In addition, to this, we are also bringing back several of the limited-time offer Axio flavors from the LTO launch last year. Strawberry Splash and Purple Grape, which were voted as favorites in our survey that we conducted after the LTO launch, will now be permanent additions to our product offering, as well as a limited-time offering of a new seasonal summer flavor. As Steve mentioned, our primary goal in this quarter and into next year is to increase the total number of active accounts, which we will achieve by, first, increasing the distributor enrollment; and second, by increasing the number of distributors and customers that place an order in the month following enrollment. We are inspired by the engagement we are seeing around these initiatives with our top distributor leaders. Beginning this week, they are hosting 30 opportunity meetings on Zoom and Facebook Live over the next 30 days. Training for these opportunity meetings took place earlier this week and was capped out after over 1,000 distributors tried joining the call, suggesting field excitement for the training and initiative. These presentations coincide with the launch of distributor-led tools on social media that allow for distributors and customer prospects to see and engage with reviews, testimonials and third-party validation. Next month, as the pandemic restrictions continue to loosen, our top distributor leaders will begin hosting in-person meetings around the country. They will begin with select cities in May and June, and then expand into other cities in future months. In the month of June, we will roll out a month long distributor incentive titled Month of Action. This is a promotion that incentivizes and rewards key behaviors that lead to enrollments, and is tracked individually and with the distributor-wide scoreboard in the LifeVantage app. Finally, we are encouraged by the number of registrations we received for the July Elite Academy. We incentivized registration by offering early access for the upcoming personal care launch and to-date have received over 2,100 registrations. This has the effect of creating excitement for both Personal Care launch as well as the July Elite Academy. With this increased engagement and alignment with our distributors, a return to in-person training and opportunity meetings and behavior-based incentives, we believe these initiatives will allow us to return to top-line growth. Now, let me turn the call back over to Steve to run through the third quarter financial results.
Steve Fife: Thank you, Justin. Let me walk you through our third quarter results. Please note that I will be discussing our non-GAAP adjusted results. You can refer to the GAAP to non-GAAP reconciliation in today's press release for additional details. Third quarter revenue was $51.6 million, down 8% on a year-over-year basis. Revenue in the Americas declined 9.4% to $36.4 million, primarily reflecting a 6.2% decrease in total active accounts. Initial sales of our LifeVantage Daily Wellness product were encouraging despite the timing of the launch occurring later than we expected in the third quarter and with limited quantities available at launch. The Virtual Elite Academy event we held in March was another event that we believe will have positive impact into Q4 and the next fiscal year. In Asia-Pacific and Europe, third quarter revenues decreased 4.7% year-over-year to $15.1 million, with total active accounts up 2.2%. Japan revenues were down 3.6% versus last year, reflecting continued restrictions due to COVID-19. Results in Australia and New Zealand were strong, 30.4% compared to last year's third quarter. Gross margin was 82.9% in the third quarter compared to 83.8% a year earlier. The decrease in gross margin was driven primarily by increased shifting to customer expenses due to COVID-19 and shift in geographic and product sales mix. Commissions and incentive expenses as a percent of revenue increased 120 basis points year-over-year to 48.8%. This change is due mainly to increased costs and accruals associated with distributor recognition events and incentive trip promotions. Adjusted SG&A as a percent of revenue was 27.9% compared to 30.2% for the prior year period. This decrease primarily reflects lower event and travel expenses, as well as lower stock and incentive compensation expense. Adjusted operating income was $3.2 million, or 6.2% of revenue compared with $3.4 million, or 6% of revenue in the prior year period. Adjusted net income was $2.8 million, or $0.20 per fully diluted share compared to $1.9 million, or $0.13 per fully diluted share in the prior year period. The company's effective tax rate was 5.8% in the third quarter of fiscal 2021, compared to 37.7% in the prior year period. The decrease in the current quarter tax rate was attributable to favorable book-to-tax adjustments during the current year period in relation to taxable income that positively impacted adjusted earnings per share by approximately $0.07. On a fiscal year-to-date basis, the company's non-GAAP effective tax rate was 25.7% versus an effective tax rate of 9.9% in the prior year nine month period. The increase in the current year tax rate on a year-over-year basis negatively impacted adjusted earnings per share by approximately $0.12. On a full year basis, we expect our non-GAAP effective tax rate to be approximately 26% compared to a full-year effective tax rate in the prior year of 22%. Adjusted EBITDA for the third quarter decreased $300,000 to $4.8 million, compared to $5.1 million in the prior year period. Please note that all of the adjustments from GAAP to non-GAAP I discussed today are reconciled in our earnings press release issued this afternoon. We ended the third quarter in a strong financial position with $19 million of cash and no debt. And we continue to maintain a $5 million of availability under our revolving line of credit, which was renewed for an additional three years on April 1 of 2021. We used $2 million in cash during the third quarter of fiscal 2021 to repurchase approximately 213,000 common shares under our share repurchase authorization. As of March 31, 2021, there remains $15.5 million available under the authorization. We expect to continue to be active with our share repurchase efforts in the future. We've invested $3.3 million of capital expenditures during the first three quarters of fiscal 2021 and anticipate CapEx net of reimbursed leasehold improvements of approximately $3.5 million during the full fiscal year. Capital expenditures in fiscal 2021 are primarily for building out our new office space and further development of our digital technologies. Turning to our fiscal 2021 outlook. We now anticipate our fiscal 2021 revenue to be $220 million to $223 million, primarily reflecting the impact of COVID-19 on our consumer base, supply chain challenges, our new product launches and timing of geographic launches. We anticipate adjusted non-GAAP EBITDA in the range of $24 million to $25 million and non-GAAP earnings per share in the range of $0.90 to $0.94. In summary, despite challenges in the third quarter, we remain very well positioned for growth. Consumer's interest in health and wellness is as strong as ever, we have a broad portfolio of high quality innovative products proven to help optimize health and improve performance at all stages of life. Our corporate team and distributor leadership teams are aligned, our financial condition is solid with a strong cash position and profitability, and we remain committed to driving value for our stakeholders. Now, let me turn the call back to the operator to facilitate questions. Operator?
Operator: [Operator Instructions] Our first question is from Doug Lane with Lane Research. Please proceed with your question.
Doug Lane: Yes, good afternoon everybody. Steve, I don’t – correct me if I'm wrong, but I don't remember you talking about developing a CBD product on previous calls. How long has this been in the works? And what's been the initial reaction from your distributor force on having CBD product?
Steve Fife: Yes. We've been working on this for I guess over nine months now. And part of the drive behind that is some very preliminary research that we've been doing around the synergistic benefits between Nrf2 and CBD. So it's a product line of seven personal care products. All of them include Nrf2 technology, and there's four of them that include CBD. And this is broad spectrum base CBD with no THC. And so far, we officially announced it to our distributor leadership group at our Elite Academy in March and made available to them at that time the ability to purchase 2,000 packs that contained on all seven products, as well as enrollment kit for our next EA, which will be in July. And we've sold out those 2,000 units. And actually, today, they are shifting out to our distributors and customers that are – I guess it's all distributors that purchase those packs. And our official launch, where it will be available to everyone, will be on June 1 this year. So far the product there's been limited use of the products with some of our distributors, but they've sold out. What we had available sold out very quickly. And like I said, it's just shipping out today.
Doug Lane: And is it shipping out globally? Or will it be kind of a market-by-market rollout?
Steve Fife: It will be a market by market.
Doug Lane: Starting with the U.S.
Steve Fife: Starting in the U.S., correct.
Doug Lane: Is it approved in Japan yet?
Steve Fife: Not yet. We're going through the regulatory process in all of our international countries. As you know, some of these things take a while just to go through that process. But we were very careful when we were selecting the CBD, to try and make it as acceptable in the countries that we're in as we could.
Doug Lane: Sounds good. Now, are you still employing a Red Carpet program, per se? Or have you sort of pivoted from that program now?
Justin Rose: Hey Doug, this is Justin. And yes, our Red Carpet program is in place, and it's actually gaining some great momentum coming out of this third quarter. So we have high expectations for that to continue and are starting to see some really, really good leaders that have joined us in the past few months.
Steve Fife: Yes. A lot of our – we've highlighted a little bit that the growth that we've foreseen in Australia and New Zealand in particular. And we have a very solid distributor base there, but we've also added in the last six months or so a group via the Red Carpet program that is just killing it right now for us.
Doug Lane: And you also mentioned the return to in-person meetings. Are these small meetings? Or are you looking to have a global convention this year? Is this in all markets, or just really starting up in the U.S.? Just a little bit more color on the resumption of in-person meeting.
Justin Rose: You bet. Hey, this is Justin again. So the in-person meetings are really starting here in the U.S. market. There are a few in some of our other smaller markets. Mexico has had a few in-person meetings, as well. But we're seeing our distributors really start to branch out and, in controlled environments, put together groups in smaller hotel meetings. The corporate office, we have a few people that are utilizing our corporate office to host the meetings. And we have a couple trainings that are coming up. We have a Pro 5 Summit that we will be able to hold in-person this time coming up in September, but October will be probably our next biggest event. And we're hoping to do a hybrid/virtual event in Salt Lake City with about 2,000 people in-person and then virtually broadcasting to the rest of the field from there. So we're slowly starting to open up those doors, and our distributors are actually kind of leading the way, getting small get-togethers assembled as early as last month.
Steve Fife: Yes. We started maybe six months ago or so, maybe nine months ago with COVID, having weekly trainings on Saturdays, and we kind of thought that it would lose some momentum because they're all virtual. But it's been amazing over the nine month period of time, or – it might even be longer than that now. But the numbers on those have held up through this whole period of time. And one of the other things that we're doing is, the third Saturday of each month, we're now going to have, again, a combination of in-person in three different locations, and then one of those locations we will be broadcasting virtually. So three in-person plus everyone can participate via – or virtually. And again, that's our distributor group really just pushing us to because of just the need, desire that they have to get back together in person.
Doug Lane: Great. Thank you.
Steve Fife: All right. Thanks, Doug.
Operator: And our next question is from Ryan Warner, a private investor. Please proceed with your question. And Ryan you are – not sure if your line is muted. Okay.
Unidentified Analyst: Are you there? Hello.
Operator: Okay, we hear you now Ryan.
Unidentified Analyst: I’m sorry about that. I had a question about the investment with the Gig Economy Group and how that's kind of playing out. It seems like it's been a couple years, and the valuation of this thing has just stayed the same. And I was wondering how that was going to be monetized, where it's going from here, and stuff like that.
Steve Fife: Yes. I appreciate it. Thanks, Ryan. GEG was our partner in the development of the app that we have, and we have a minority interest in them. So from an accounting standpoint, it's accounted for on a cost basis, and because of the size or the percentage of ownership that we have. But we continue to partner with GEG and as well as we've built quite a bit of capability within LifeVantage itself and have advanced fairly significantly over the last couple of years. The features, the reliability, the capability of the app, and we're seeing that manifest itself by an uptick in the adoption of the app buyer distributors as one of the primary tools that they use, especially in the upfront enrollment process. So we do still have a relationship with GEG, and we monitor on a quarterly and annual basis the investments that we have with them. But a lot of the development and enhancements that are taking place with the app, LifeVantage is doing more and more of those right now.
Unidentified Analyst: Okay. All right. Thank you.
Steve Fife: Great. Thank you.
Operator: And we have reached the end of our question-and-answer session. I'll now turn the call back over to management for any closing remarks.
Steve Fife: Thank you for joining us today. And in closing, I just want to take an opportunity to thank all of our employees for their hard work and dedication, as well as our outstanding team of distributors. We remain confident in our business model and are focused on delivering the LifeVantage products our customers depend on. We hope you are all safe and healthy, and look forward to updating you on our next call. Have a great day.
Operator: And this concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation.